Operator: Good morning, ladies and gentlemen, and welcome to the Plus500 2025 Preliminary Results. The presentation will commence shortly. [Operator Instructions] Please note, this call is being live streamed to a webcast for a wider audience and will be recorded. I would now like to hand over to David Zruia, Group Chief Executive Officer, to open the presentation. Please go ahead.
David Zruia: Good morning, everyone, and thank you for joining our 2025 preliminary results presentation. I'm David Zruia, CEO of Plus500, and I'm joined today by Elad Even-Chen, our Group CFO; and Owen Jones, our Group Head of Investor Relations. Plus500 globally diversified multi-asset offering drove strong operating momentum across several key strategic initiatives during the year, which we will highlight today. Our differentiated customer offerings, which are powered by our proprietary technology, provide us with compelling competitive advantages, and we remain committed to delivering seamless and innovative access to financial markets worldwide. The structural growth opportunities in our end markets are substantial, and we are seeking to maximize our opportunity set within them. We have started 2026 well, and we look to the remainder of the year and beyond with confidence. I would like to thank all my colleagues across Plus500 who made these strong results possible for their hard work and dedication towards successfully achieving our collective goals and strategic ambitions. Slide 2 shows the agenda for today. We will take you through the highlights for the year and the operating review, followed by a run-through of our unique technology and product set, and then we continue with the financial highlights. We will then conclude with the summary and outlook section before taking your questions at the end. There are 5 key takeaways from today's presentation shown on Slide 4. For the year as a whole, we increased the positive operating momentum we have across the group significantly, both in our OTC and non-OTC businesses. The focus on our strategic objectives remain a key priority, including product and market growth, innovation and the acquisition of higher value, more sophisticated customers alongside retention and monetization initiatives. We secured additional regulatory licenses and clearing memberships, enabling the group to deliver important structural growth over the coming years and our excellent strategic positioning and our proprietary technology drove strong financial results for 2025, including growth in revenue and EBITDA. We announced groundbreaking strategic partnerships in our growing U.S. futures business, expanding into new markets and demonstrating the increasing strength and attractiveness of Plus500 as a trusted partner with a focus on institutional collaboration and provider of market infrastructure. In an exciting development, we also entered the fast-growing prediction market space, which I will come on to in greater detail later. Finally, today, we have announced additional shareholder returns of $187.5 million, comprising dividends and share buybacks, adding to the $165 million we announced in August 2025. And even with such attractive shareholder returns, the group ended 2025 with an extremely strong financial position with cash balances of approximately $800 million and no debt. The strong financial results for 2025 extend our significant track record that stretches back to our IPO in 2013. Since then, Plus500 has generated $3.8 billion in cash from operations, $3.1 billion in accumulated net profits and of that, the company has returned approximately $2.9 billion to shareholders through $1.7 billion in dividends and $1.2 billion in share buybacks, including the $187.5 million announced today. These shareholder returns combined with a strong share price have resulted in Plus500 being the best performing share in the FTSE All-Share Index over the last 13 years on a total return basis with a cumulative total shareholder returns of over 8,700%, which is a remarkable achievement. And it was a reflection of the strong performance that saw the company join the prestigious STOXX Europe 600 Index in early 2025, an important recognition of the compounding value creation we have delivered for shareholders in recent years. Moving now to Slide 6, which focuses on some of our operational drivers and outputs. During 2025, we continue to focus on our strategic road map and accelerated the delivery of meaningful progress across the group. The drivers and outputs that you can see on the slide are all underpinned by our market-leading proprietary technology, a key competitive advantage for Plus500, which allows us to grow our business globally while creating deeper engagement with our customers by maintaining a robust, secure, seamless and reliable trading experience. As a result, 67% of OTC revenue was derived from customers who have been trading with Plus500 for over 3 years. And over 5 years, the same metric is remarkable, 50%, which has more than doubled in the last 3 years. Both achievements highlight the benefit of our focus on driving higher customer lifetime value by providing a best-in-class trading experience. Customer deposits increased significantly once again to $6.5 billion, which sets a new record for the group. And this equated to a record of approximately $27,000 per active customer. The strength of our mobile offering was also highlighted once again with 89% of OTC revenue being generated from mobile or tablet devices. Moving now to Slide 7. 4 years ago, at our Capital Markets Day, we introduced our strategic road map objectives. Since then, we have made excellent progress against our ambitious targets, transforming Plus500 into a more resilient and scaled business with diversified earnings streams. This transformation has had a significant positive impact on our quality of earnings and underpins our focus on innovation, growth and continued diversification through the development of new products and expansion into new markets. In addition, a central part of the group strategy is to deepen customer engagement and enhance customer retention by investing in and developing our customer retention technologies and initiatives, which is something we have done very successfully in recent years. Collectively, we expect the objectives within our strategic road map to position Plus500 to continue delivering sustainable compounded returns for shareholders for many years to come. Moving to Slide 8. Plus500's superior proprietary technology and its ability to quickly develop new offerings or adopt for new strategic partnership opportunities has enabled Plus500 to evolve from being a single product provider into an established multi-asset fintech group, a trusted global provider of market infrastructure services and proprietary trading platforms with a broad and diverse customer base. The Plus500 of today provides a wide range of products, services and instruments across its OTC, futures, options on futures and share dealing verticals, to which we have recently added prediction markets as we continue to see surge in demand for event-based trading contracts and we operate in attractive growing end markets with powerful structural growth drivers. Our OTC business covers 7 asset classes and our futures business can be split further into B2B and B2C offerings, which provide execution and clearing services across a growing range of global exchanges. Our non-OTC business also includes our prediction markets offering, as I mentioned, an addressable market with significant potential. We also highlight Plus500 Cosmos here, an industry-leading client portal for our B2B futures customers, which has become a meaningful source of both customer onboarding and improved customer retention in our B2B business. On the right side of the chart, we can see our share dealing platform, Plus500 Invest, which enables customers to buy and sell shares directly. Our overall offering provides customers with a wide choice of products, enabling them to tailor their approach and trading strategies. The diversification of our business remains a key part of our success, and we will continue to drive this agenda as we maximize the attractive growth opportunities in our markets. Moving to the next slide. Here, we show the increasingly important role that Plus500 plays as a provider of accredited, trusted institutional market infrastructure built on our proprietary technology and regulatory expertise. Our role has evolved significantly as the group has diversified its operations, and we now sit at the heart of the financial ecosystem, connecting institutional customers and retail customers to more than 30 different exchanges and clearing houses. We provide the mission-critical market infrastructure to a global customer base, which include individual customers, institutions and other businesses. Our futures business, which we'll discuss in more detail, continues to outperform our expectations and performed exceptionally well during 2025. The prediction market space represents a compelling and fast-growing market opportunity for Plus500 driven by retail engagement, regulated exchanges and next-gen trading tools. This new financial asset class has experienced rapid growth over the past year. Thanks to the unique strength of our proprietary technology and our trusted institutional infrastructure, we are well placed to maximize the opportunity in front of us. Prediction markets enable customers to trade on real-world outcomes in a fully regulated CFTC framework, underpinned by advanced technology and infrastructure that makes the process seamless and highly intuitive. We are thrilled to have been able to bring this engaging, exciting and fully regulated offering to our U.S. customers following the groundbreaking launch of event-based contracts on our B2C trading platform. On the back of a strong 2025, we entered 2026 with positive strategic operational and financial momentum. Here on Slide 11, we show some of the operating highlights. We delivered significant strategic progress across both our OTC and non-OTC businesses, demonstrating the increasing strength and attractiveness of Plus500 as a trusted counterparty with a focus on institutional collaboration as we enter new markets and offered innovative new products for our customers. Reflecting this status, during 2025, we announced 2 exciting partnerships in the B2B use future space, one with Topstep and the other with CME FanDuel. We continued to enhance our existing OTC offering with innovative new products, services and licenses. And as I mentioned earlier, we have entered the prediction market space with B2B and B2C offerings. In summary, 2025 was a year of strong achievements, and we are extremely excited about 2026 and beyond. I will now hand over to Elad to present the operating review section.
Elad Even-Chen: Thank you, David, and good morning, everyone. It is a pleasure to present the operating overview for 2025 and such a strong set of financial results this morning. The operating review section will include an outline of our operating performance in 2025 as well as a closer look at our growing futures business, including our entry into the prediction market space. As can be seen on Slide 13, we offer our services to approximately 33 million registered customers in more than 60 countries. This global scale, combined with a tailored localized offering is an important source of both current and future value as we focus on driving activation, retention and monetization of our global customer base by leveraging our highly innovative and agile proprietary technology to drive customer engagement with our compelling multi-asset product set. Our global offering is further enhanced by our localized solutions, which include tailored products and support in a customer's native language and our best-in-class customer service, which includes our premium customer offering. On Slide 14, we show some of our operating KPIs, along with the regional performance data. As the group has consistently demonstrated historically, new customer acquisition and deeper engagement with existing customers lays the foundation for future growth, making it an investment today to drive value creation over the medium to long term. Also, as we have demonstrated in recent years, our increasing focus on more sophisticated, higher-value customers means we are well positioned to drive sustainable, high-quality growth over the long term. In 2025, we onboarded roughly 105,000 new customers, reflecting our continued focus on attracting and retaining higher-value customers and active customers remained broadly stable at approximately 242,000. Moving ahead to Slide 15, which shows customer tenure and longevity. Over recent years, we have made significant improvements in our customer retention technologies and premium account programs, increasing customer longevity materially, as shown here on Slide 15. We have a deeply embedded philosophy of driving long-term relationships with our customers by providing technology-enabled retention initiatives and by consistently providing our customers with a wide range of products and services, supported by a robust, secure, intuitive and reliable trading platforms. These improvements are working well, as shown here on the pie charts. For example, in the year of 2025, 87% of the OTC revenue was generated by customers who have been with us for more than a year, while 50% of the OTC revenue was generated by customers who have been with us for more than 5 years. This is an excellent achievement, which is more than double the equivalent metric from 2022. Over the next few slides, I will highlight the impact that our non-OTC business as a whole and particularly the futures business has had on the group's revenues, customer mix and other KPIs. Earlier this month, we completed the acquisition of Mehta Equities in India, which opens up a number of exciting strategic initiatives for us to pursue over the coming years. Mehta provides Plus500 with immediate access to the world's largest and fastest-growing derivative markets, operating under an established regulatory framework. It will also allow us to generate synergies between our existing futures operations in the U.S. and our position in India. Slide 17 sets out how our revenue, new customers and total deposit mix have evolved in recent years, driven by the growth in our non-OTC business. In the last 2 years, our futures business has established itself and grown quickly, reflecting the strength of our offering, both to retail and institutional customers. And this status is reflected in its contribution to the group's performance. In 2025, non-OTC revenues accounted for approximately 14% of the group's total revenue, equivalent to more than $100 million, which highlights the increasing importance of this vertical now. From a customer perspective, 17% of new customers came from the non-OTC businesses during the year. As David mentioned, this business continued to outperform our expectations, and we are extremely pleased with the progress we have delivered in this area. We have made progress in attracting higher-value customers and how that has impacted our average deposit per active customer since 2021. For FY 2025, aggregate customer deposits increased significantly to approximately $6.5 billion, which is a record level for the group, reflecting our increased breadth and scale of operations and the rapidly growing trust that customers have placed in Plus500. And over the last 4 years, the average deposit per active customer has grown by over 400% to approximately $27,000, which is truly remarkable. We have done this by strategically focusing on higher-value customers, leveraging our superior marketing technologies and providing a localized offering to customers, which includes local payment solutions and exceptional customer service, among others. Over the last few slides, I've highlighted the quantitative impact that the growth in our futures business has had. And now over the next few, I will focus on some of the operational highlights for 2025, starting on Slide 18. Over the last 3 years, Plus500 has established its position in the U.S. futures market with a B2B institutional and B2C retail offering, both of which performed extremely well in 2025. Across our B2B and B2C businesses, we grew our customer segregated funds to over $900 million as of the end of December 2025 versus approximately $350 million at the end of 2024, representing growth of over 2.5x, which is a fantastic achievement. This reflects both the onboarding of new customers and increased trading activity from existing ones. In 2025, we secured new Clear memberships with ICE Clear U.S. and ICE Clear Europe as well as Kalshi Klear, which will allow us to further enhance our institutional product offering and holistic clearing services to a global customer base. In the B2C business, our trading platform, Plus500 Futures, which offers a unique Omni-set solution continues to set us apart from our competitors, and it is clear that our customers value the seamless trading experience, which we offer. Turning to Slide 19. During the year and in the early part of 2026, we expanded our futures business, taking it into the increasingly popular prediction market space, leveraging our existing infrastructure and superior proprietary technology to capitalize on a high-growth opportunity for us. We have done so directly via the clearing memberships with Kalshi and also as the clearing partner for the joint venture between the CME and FanDuel. Through this exciting new product category, Plus500 customers in the U.S. will be able to trade on a wide range of event-based outcomes, including economic indicators, financial events, geopolitical developments and other measurable real-world scenarios, all cleared directly by Plus500. By integrating this fast-growing offering, we have further enhanced product choice for customers at a time when prediction markets are seeing a surge in interest and trading volumes are continuing to increase significantly. We are highly excited about our prospects in this market segment. We have the proprietary technology and regulatory expertise to cater to increasing activity from prediction markets, and our capabilities extends further to include treasury and risk management as well as best-in-class customer service for both B2B and B2C customers. The combination of our clear memberships, proprietary technology, institutional infrastructure, order routing, strong financial foundations and market expertise leave us extremely well positioned to capitalize on the growth opportunities in this expanding market. Turning to the exciting B2B partnerships shown here on Slide 20. In December, we announced our appointment as the clearing partner for FanDuel prediction Markets, an exciting joint venture between the CME and FanDuel. Then in October 2025, we announced that we had entered into a strategic partnership with Topstep, a leading U.S.-based trading education and evaluation platform, under which Plus500 will exclusively provide clearing and technology infrastructure for Topstep. Through this partnership, Topstep's large and active trader community will gain direct access to live CME group exchange markets via Plus500's institutional clearing, order routing and risk management technology. Being chosen as a strategic partner for these groundbreaking initiatives is a landmark achievement for Plus500. They reflect just how far we have come and how our status as an accredited trusted market infrastructure provider built on proprietary technology and regulatory expertise allow us to drive institutional collaboration. It also demonstrates the superiority of our operational processes and status as a global multi-asset fintech group on the international stage. As we touched on earlier, worldwide interest in both future contracts and prediction markets led to the creation of an exciting new financial asset class. This is a market with very powerful structural tailwinds as millions of people choose to access the financial markets through event contracts. At Plus500, we are performing a critical role through the power of our market-leading B2B infrastructure and B2C customer expertise to unleash the democratizing power of prediction markets. For retail customers, as you can see on the slide, our new uplifted mobile platform creates an intuitive personal user experience, opening up an exciting new financial asset class. This new financial prediction markets offering includes economic indicators, financial events, geopolitical developments and other measurable real-world scenarios. Moving ahead to Slide 22. Plus500's U.S. operation is regulated by the CFTC and is a member of the National Futures Association and the Futures Industry Association. Plus500's futures operation also holds exchange and clearing memberships with the CME Group Exchanges, the Minneapolis Grain Exchange, Eurex, ICE Clear U.S., ICE Clear Europe and Kalshi Klear. And following the completion of Mehta acquisition, 6 Indian exchanges and clearing house memberships. We will continue to target additional clearing memberships going forward. This objective will be supported by our proven track record, robust financial position and expertise in applying for and securing new clearing memberships. Thanks to our proprietary technology, financial strength, customer service and strategic collaborations, we have grown rapidly in a short space of time to become an established player in the futures market. Additionally, as part of our B2C offering, we are proud to have the Plus500 futures platform, which has gained good traction with customers, driven by its Omni-set solution and T4-Pro, our trading platform for more professional customers. Our licenses, clear memberships, strong balance sheet, partnerships and innovative trading platforms leave us well positioned to generate continued value for all of our stakeholders. Overall, our expansion into the non-OTC products was a key pillar of our strategic road map and one against which we are delivering real and accelerated growth. I will now hand back to David, who will take us through the technology section.
David Zruia: Thank you, Elad. On to the next slide, Slide 24. Our technology supports all our domains from operations, product, marketing capabilities through to customer service. This means our technology delivers a broad range of services within each of these areas such as search and data analytics in marketing, payment processing and customer onboarding solutions. Our domains are built using our own technology, and they are integrated and optimized with one another, giving a holistic view of our systems. Our system architecture, therefore, enables us to operate with both resilience and agility in highly regulated markets and underpins our global best-in-class multi-asset offering. Moving ahead to Slide 25. Our proprietary technology allows us to support our customers at every stage of their journey end-to-end from customer acquisition via our established CRM system to payments through our proprietary cashier, all the way through to our unique trading solutions and product offering. Plus500 is focused on developing and delivering the most innovative and established technology, which provides our global customer base with a localized, intuitive and secure trading experience. Our industry-leading proprietary technology provides our customers with a reliable, robust and seamless trading experience across mobile devices, tablets and the web. We offer over 2,500 different underlying global financial instruments across more than 60 countries and in 30 languages via our product portfolios of OTC, share dealing, futures and options on futures and prediction markets. As you can see on this slide, the graphical user interface and overall user experience across our product offering are seamless, which enables greater levels of customer satisfaction and engagement. Plus500's new technology stack for the U.S. futures market available across various platforms, serves both retail, professional and institutional clients. This includes Plus 500 Futures, T4-Pro and Plus500 Cosmos along with advanced clearing, risk management, middle office and execution technologies. And as evidenced by our new strategic partnerships, we can offer bespoke API connectivity and other services as required in order to meet needs of prospective partnerships. For retail clients, our mobile technological solutions offer an intuitive trading experience, making futures trading accessible to all applicable customers. For institutional clients, we offer enhanced control over the end-to-end process. Plus500 Cosmos leads industry innovation with a customer portal featuring advanced risk management tools and trend monitoring services. And as noted earlier, our U.S. B2C customers can now train on a wide range of Kalshi events outcomes in a seamless way via the Plus500 Futures platform. With these advancements, Plus500 has established itself as a key market infrastructure provider in the futures industry. On to Slide 28. Shown here is our full suite of OTC products in the Japanese retail market. At the beginning of 2025, we launched our new proprietary multi-asset trading platform for the Japanese market, including OTC products across FX, indices, equities and ETFs as well as knockout options. Then in June 2025, we secured an additional commodities license, meaning we now offer a full range of OTC products to the important Japanese retail customer. It is a large and well-established market, offering significant potential to Plus500 over the medium to long term. Moving to Slide 29. I'd also like to highlight our offline marketing activity in Singapore, the UAE and Japan, 3 markets with strong long-term growth potential. Each campaign is carefully tailored to local audiences, reflecting differences in consumer behavior and [ media habits ]. In Singapore, we focus on reaching an urban digitally engaged audience in premium commuter and lifestyle locations. In the UAE, campaigns target a diverse internationally mobile audience across high-traffic commercial and leisure hubs. In Japan, activity is highly localized, emphasizing trust and repeated exposure in everyday environment. Together, these examples demonstrate how well executed off-line campaigns can serve as powerful drivers of brand recognition and customer acquisition, supporting sustained growth in markets with strong long-term potential. Turning to Slide 30. The mobile trading space has become more and more important for retail customers, and we work extremely hard to maintain our leading position in this field. Many of our customers have a mobile-first approach to trading, which is why Plus500's customer experience is seamless between mobile, tablets or web, and each interaction is designed to have the same look and feel. This provides a more consistent trading experience for our customers, which is extremely important to us. As a result, 89% of OTC revenue was generated from customers trading with us on mobile or tablet devices and 85% of OTC trades took place on mobile or tablet devices in 2025. I will now hand over to Elad, who will take you through the financials before I return with the summary and outlook section.
Elad Even-Chen: Thank you, David. Shown here on Slide 32 are some of the financials and operational highlights for the year. The group delivered revenue and EBITDA growth of 3% and 2% year-on-year for FY 2025, which is a strong result and one I'm extremely pleased with. On a constant currency basis, relative to our EBITDA outcome in 2024, the EBITDA for FY 2025 is approximately 8% higher, underscoring the EBITDA potential within the group. Our focus on attracting and retaining higher-value customers enabled by our sophisticated marketing technology investments led to a significant increase in the average deposit per active customer to approximately $27,000, which reflects a group record of approximately $6.5 billion of total customer deposits in the year. This kind of progress would not have been possible without the strong foundations we have in place of best-in-class customer service and robust, reliable trading platforms, all enabled by our proprietary technology. We also grew the average revenue per customer by 8% year-on-year and positively reduced the spend per customer by 13% both of which highlight our sophisticated multichannel marketing technology and ability to attract and retain higher value customers. On Slide 33, we can see the financial performance Plus500 has delivered in recent years. The group generated revenue of $792 million in FY 2025, representing growth of 3% year-on-year. EBITDA was also extremely robust at $348 million. The strong delivery, combined with the ongoing share buyback program during the period led to a basic earnings per share of $3.93, representing growth of 10% year-on-year in 2025. I will now take you through our financials in more detail, starting on Slide 34. Slide 34 shows a breakdown of our income statement in more detail. In 2025, selling and marketing expenses reduced by 2% year-on-year, reflecting the increased efficiency of our marketing and technology during the period, equating to a greater level of ROI. That being said, our focus on attracting and retaining higher-value customers remain undiminished throughout the period. During FY 2025, our general and administrative expenses increased reflecting the group's international expansion into new local operation through both organic and inorganic growth as well as heightened foreign exchange impacts. Slide 35 shows our cost base in more detail. The group's cost base is heavily weighted towards variable costs, which accounted for 70% of the total operating costs. The flexibility within the group's cost base is a key part of its overall financial strength and is a significant source of resilience through different market cycles. In FY 2025, our technology and marketing costs decreased significantly as we further optimize the average customer acquisition cost via our multichannel marketing technology, which drives our customer acquisition. Slide 36 shows the group's balance sheet. Our strong financial position underpins all of our activities, giving us the optionality to invest both organically and inorganically and to enhance our shareholder returns where appropriate. The group ended the period with cash balances of approximately $800 million with no debt or loans, representing an extremely strong and flexible financial position. Slide 37 presents the cash flow statement. Plus500 remains a highly cash-generative business, supported by a lean cost base and proprietary technology. Since our IPO in 2013, our average operating cash conversion has been approximately at the level of 98%. In 2025, cash generated from operation was approximately at the level of $265 million and cash and cash equivalent at the end of December 2025 stood at approximately $800 million. This extremely strong cash position has enabled us to announce on shareholder returns of approximately $365 million during 2025 and an additional $187.5 million announced today. On Slide 38, we show our disciplined approach to capital allocation across the group. We always seek the right balance between maximizing shareholder returns, making strategic investment to drive future growth, carrying out highly selective bolt-on acquisitions and developing a sustainable business over the long term. We illustrate on the slide the 2 broad categories within our capital position, one, which is approximately at the level of $550 million, which includes the regulatory capital, working capital, clearing and risk management funds and the other is the surplus capital, which was approximately at the level of $250 million at the end of 2025. Both categories are there to support the ongoing day-to-day activities of the group, including our growing clearing businesses, future growth and enhanced returns to our shareholders, which I will cover now on Slide 39. Our shareholder returns policy stated at least 50% of net profits are to be distributed to shareholders via dividends and share buybacks and at least 50% of those distributions will be made by way of share buybacks. This policy will continue to apply to net profits on a half yearly basis and will continue to be based on a 23% corporate tax rate for both interim and final distributions. The Board will also consider executing special share buybacks or dividends on a half yearly basis, dependent on fiscal year results as well as on investment and growth opportunities. Accordingly, we're really pleased to announce today on an additional shareholder returns of $187.5 million, comprising $100 million in new share buyback programs and $87.5 million of total dividends, which equals to a dividend distribution of more than $1.2 per share. Thank you all, and I will now hand back to David for his final remarks.
David Zruia: Thank you, Elad. Let's now move to the summary and outlook section, starting on Slide 41. As we have shown, 2025 was another excellent year for Plus500 with accelerating strategic, operational and financial progress, and we have started 2026 in a similar fashion with our announcement regarding Kalshi in the prediction market space and Mehta in India. We have also extended our track record of delivering significant returns for our shareholders, which goes back to our IPO in 2013. This has propelled us to be the best performing share on a total return basis since our IPO in 2013 to the end of December 2025, during which time we generated over 8,700% total returns for our shareholders. Putting everything together, shown here on Slide 42, is our compelling investment case. In recent years, Plus500 has evolved significantly and diversified its operations materially to become a leading multi-asset fintech group, providing trading platforms and critical market infrastructure, all supported and enabled by its leading proprietary technology and unique system architecture. Over a 13-year period as a public company, Plus500 has delivered an unrivaled track record of growth, innovation and attractive shareholder returns. We have maintained our high-margin, highly cash-generative business model as we have grown, expanded and diversified and our financial position remains extremely strong with significant levels of cash and no debt on our balance sheet. This supports our ambitions to pursue growth both organically and inorganically while returning funds to shareholders. And with our strong strategic position in growing end markets, we remain extremely well placed to capitalize on and seize growth opportunities as they emerge. And to conclude, Slide 43. Looking ahead, the opportunity for Plus500 and the growth runway has never been more significant, underpinned by our robust balance sheet, highly cash-generative business model and multiple structural growth drivers across product verticals, we are well positioned to continue delivering strong operational execution, innovation, growth and attractive shareholder returns. Over the past year, we have further diversified our business, expanding into highly attractive markets and reinforcing our position as a trusted provider of institutional market infrastructure across our growing non-OTC business lines. In our OTC business, our portfolio of international licenses, continued product innovation, expansion into new markets and deepening customer relationships give us a unique advantage upon which to build. We look to the future with confidence and are absolutely focused on executing with precision against our strategic priorities to deliver growth and value creation. Thank you for listening, and that marks the end of our presentation. We will now move on to take your questions. We have a facility via the webcast to take questions, which the moderator will explain to you now. Thank you.
Operator: [Operator Instructions] I would like to remind all participants that this call is being recorded. [Operator Instructions] We currently have no questions on the webinar. So I will hand over to Owen Jones, Head of Investor Relations, to address the written questions.
Owen Jones: Thank you. Good morning, everybody. We've got a few questions that have come through. So I'll read those out in the order in which they were received. Our first question comes from Hal Potter, Bank of America. He says, congratulations on an excellent set of results. Thank you, Hal. First question, all related to prediction markets. Could you give us a sense of how trading is going so far with the CME FanDuel partnership? That's the first question. Second question, Plus500 has a fantastic partner with 40% roughly market share in U.S. sports betting. Is there any reason why this partnership couldn't reach a market share close to that? And then his third question relates to the Kalshi offering. And he says, are we expecting an increase to our marketing budget to grow the customer base here?
David Zruia: Yes. So obviously, for the first question, the new partnership with the FanDuel CME is just at the beginning. It's ramping up. It looks good, but it's the beginning. And obviously, as it grows, we will share more stats in the future.
Elad Even-Chen: As for the second element, very much we are having strong confidence with that kind of level of offering on the B2B. We can see already kind of the metrics behind the scene. We do have the -- to say that it will go and become material. But yet again, it's kind of the combination of time. Let's not forget that the kind of initiation went out only a few weeks ago. We've seen also on the back of the different ecosystems even of yesterday of the Super Bowl, we've seen already kind of increased level of traction to come in from the B2B clearing services. So we do have a great level of comfort.
Owen Jones: Yes, as a reminder, his third one was on the Kalshi offering -- marketing budget.
Elad Even-Chen: So as kind of -- it's important to understand kind of the mechanics of Plus, right? As you know very much, we're doing mainly kind of online marketing, and it's a great tool for us also to bring more volumes to the system as a whole. By the way, we don't look at it as Kalshi product, but rather the prediction market as a whole because additional kind of exchange will be added there as well, and it will create even a greater level of audience.
Owen Jones: Okay. Next question comes from James Allen at Berenberg. He is asking, do we expect the average revenue per customer in the prediction market space to be higher or lower versus our current activities? And his second question is relating to Topstep. Can we give any more detail about the strategic partnership with Topstep and how will it work? And how big is their customer base?
David Zruia: So first of all, it's important to note that when we look at the customer, we look at it in a more holistic view. The idea is to have a super app in the U.S. current dates futures then we added the prediction, and we will keep adding more products. And as we add more customers to the platform, they will trade both prediction, futures and other products in the future. So it's not that it's either a lifetime value or ARPU for -- from that product or from that product. That said, we are in a very early beginning stages of the offering. Lifetime or ARPU is being measured across a long term. It's not after a few days and time will say what is the expected ARPU of the prediction market customers comparing to futures or OTC ones.
Elad Even-Chen: But we can add that as for kind of the substance of the fact that we, on the B2C level, we are the clearer itself, so by itself, we kind of save 50% of the margin instead of kind of distributing it to another clearing party. So very much the composition of having the B2C as the full owner of that kind of offering together with the [ IB ] offering on a fully disclosed level, together with the Omnibus level that will enable us to get a greater margin than the other players in the industry.
Owen Jones: Thank you. The next question comes from Ian White at Autonomous. It may have just been touched on in your previous answer, but he was asking how our partnership with Kalshi is differentiated versus Kalshi's own B2C offering and their partnership with Robinhood.
David Zruia: So obviously, Kalshi as a product is a great product, but it offers trading on prediction markets products only. While when customer trades at Plus500 enjoys the ability to trade both futures, prediction markets, and as I said earlier, we are planning to add more products in the U.S. to the same app later on. It's a long-term process, but we have the plan in place. And that is the differentiation, the offering itself.
Owen Jones: Thank you. We've had another question relating to prediction markets. Can we just explain how we generate revenues in this market, please? What's the revenue model for our prediction market offering?
Elad Even-Chen: So there are -- as I mentioned before, there are 3 different streams, okay? Like the first one is the B2C, the one that we offer under our platform. And there, you are having like the $0.02, if it's -- the fee itself and the commission, the fee, which is very much being also distributed to the exchange and then also the commission which you generate. And that ends there. Then you do have also the other structures, which are different from one party to another. As mentioned, we are catering the B2B service from both fully disclosed level, fully disclosed, it means that we are the one to provide the platform and all the technology for the onboarding, for the cashier, for the risk management and various other parameters. There is no second to us today. And if so, very limited other kind of handful of players in the U.S. with that level of technology. Then I would say that you're having the Omnibus level. There, it's again, very much subject to the characteristics that you are having with other party. That kind of ecosystem can be associated with the deal we're having with FanDuel and the CME. And within each and every one of them, there are different level of commercials. Again, the beauty of Plus is also to have the execution together with the clearing.
Owen Jones: Thank you. That's really clear. Luke, we have no more questions via this facility. So I'll hand back to you. Thank you.
Operator: Thank you. That concludes today's presentation. Thank you for joining, and have a nice day.